Operator: Good day ladies and gentlemen and welcome to the First Quarter 2014 Tenaris SA Earnings Conference Call. My name is Jackie and I will be your operator for today. At this time, all participants are in a listen-only mode. Following the prepared remarks, there will be a question-and-answer session. (Operator Instructions) As a reminder this conference is being recorded for replay purposes. I would now like to turn the presentation over to Mr. Giovanni Sardagna, Investor Relations Director. Please proceed sir.
Giovanni Sardagna: Thank you, Jackie, and welcome to Tenaris’ 2014 first quarter conference call. Before we start, I would like to remind you that during this conference call we will be discussing forward-looking information, and that our actual results may vary from those expressed or implied during this event. With me on the call today are Paolo Rocca, our Chairman and CEO; Guillermo Vogel, Vice President of Finance and Member of our Board of Directors; German Cura, Managing Director of our North American Operations; and Gabriel Podskubka, Managing Director of our Eastern Hemisphere Operations. Our CFO. Ricardo could not join us this conference call, but he will be joining us for the coming one. Before passing over the call to Paolo for his opening remarks, I would like to briefly comment our quarterly results. During the first quarter of 2014, sales decreased 4% to $2.6 billion compared to $2.7 billion recorded in the first quarter of last year as higher sales in the Middle East and Africa were more than offset by lower sales in Brazil. Sequentially, sales also decreased by 4% as higher sales in the U.S. and Canada were than offset by lower sales in the Middle East, following the exceptional level of sales we had in the fourth quarter of last year in this region as well as lower sales in Mexico, Colombia and Venezuela. Our EBITDA for the quarter reached $780 million, which was 3% higher than the EBITDA we recorded during the corresponding quarter of the previous year. Our EBITDA margin at almost 28% is one of the highest in the industry. Average selling prices in our Tubes operating segment were up 1% compared to the corresponding quarter of last year, but down 2% sequentially. During the quarter, our sales of high-end seamless product were up 60% of our total seamless volumes. During the quarter, cash provided by operating activities was $612 million, allowing us to reach a net cash position of $1.3 billion at the end of this quarter. Now I will ask Paolo to say a few words before we open the call to questions.
Paolo Rocca: Thank you, Giovanni and good morning to all of you. With our first quarter results we made a good start to the year. Maintaining our margin at the high level we reached in the fourth quarter. I am particularly pleased with the level of invested efficiency achieved in the recent months. This, along with the good mix of products has been a key contributor to the level of margin recorded in the last two quarters. I will start with the Middle East which has been very strong for us in the past few quarters. Here, the rig count and consumption of premium products are at record levels driven by the complex requirement of deep and gas wells. Also consumption of our products is increasing. The current high inventory levels mean that our sales in the region in the coming quarters will adjust downwards. The Puerto is an area where we are seeing strong growth and the opportunity for us to deploy our strength in product technology. Technical and logistical support and local presence to support the major player worldwide. Last year, our sales in Sub-Saharan Africa rose by 74% year-on-year and we continue to increase during this year. During the first quarter, we delivered products to various customers conducting exploration and development campaigns in the West and East Africa. In the Gulf of Mexico we began deliveries of our wedge 623 connection the Mars B product and in the coming quarters, we will deliver deepwater line pipe and for the Big band development. In Brazil, however, project delays continue and drilling activity slow down. As a result, our sales in Brazil this year would be some 45% lower year-on-year, but they should recover next year when we begin deliveries for the offshore pipeline. Last month, we inaugurated our new R&D center in the technological park of the Federal University of Rio de Janeiro. This is our fifth R&D center worldwide, where we will focus on the development qualifications of products such as our Blue Dock connector for complex offshore applications. In Argentina, YPF is steadily ramping up activity in Vaca Muerta Shale. They already have 19 rigs operating there and plan to reach 30 rigs by the end of the year. We are supporting them but a just in time service contract helping them to reduce operational cost through delivery pipes in rig ready condition. In Mexico the reform process is advancing steadily. However, the number of rigs operated by Pemex have decreased while the company awaits the final definition on the areas that will be assigned to it. For the time-being, Pemex is concentrating on its most productive operation, but we expect a gradual recovery in the level of operation in the second half of the year. In the United States onshore market, activity is increasing particularly in the Permian Basin where some of our alliance customers are very helpful. With the increase in horizontal drilling in shale oil plays, we are seeing particularly strong growth in demand for our wedge-625 connection which were developed especially for this market. The final resolution of the Department of Commerce in the anti-dumping trade case will come in July. We are confident that the elements now being considered by the commissioners will show evidence of unfair trading practices from all of the (inaudible) Our investment plan is proceeding on track on many fronts, the most important of which is our new plant in Mexico. Our plan also include investment in Colombia, in Saudi Arabia, in Argentina and Mexico to support the higher demand we expect for premium products from our customers in the coming years. We can now take any questions you may have.
Operator: (Operator Instructions) And your first question comes from the line of Bill Sanchez with Howard Weil. Please proceed.
Bill Sanchez – Howard Weil: Thank you. German, a question for you I guess it relates to North America. I guess, first, maybe I have missed in Giovanni’s prepared comments, but, welded volumes were flat sequentially here in 1Q versus 4Q, I think we probably would have expected them up a bit on Canada, is that where the weather dislocations really impacting your business during the quarter I guess there? And how do we expect 2Q welded volume perhaps to look? Should they be maybe up sequentially offsetting Canada? I guess, is my first question. I guess, my follow-up I just have now is, could you talk a little bit about the pricing trends, German, maybe you are seeing in the U.S. onshore market? One of your competitors mentioned earlier this week that volumes certainly would be up 2Q for them and that pricing will be relatively flat, just given sort of concern over the import levels perhaps you could talk a little bit about your U.S. land outlook?
Paolo Rocca: Thank you, Bill. German, could you pick up these?
German Cura: Sure, good morning Bill, thank you Paolo. Well, I’ll talk a little bit about the welded volumes build, they’ve been flat. Canada has naturally done a bit better. The States have done overall slightly better. But they were offset by an important reduction of welded pipes associated with some line pipe projects in Argentina primarily. So, that's ultimately why we saw fairly flattish volumes. Going forward, I think, we’ll see naturally the adjustment – expected adjustment in Canada as a result of the seasonality – usual seasonality aspect. And we view this steady stable volumes of welded in the coming quarters. Now with respect to pricing, and I think, we’ve seen some pathologic movement up and down and it’s perhaps the reflection of still very important volumes of the imports primarily from Korea. An example, Korea brought about 900,000 metric tons during the entire 2013 and our latest numbers show something in the area of 340,000 only for the first quarter. So this is continuing to push or pressuring prices at the lower end. At the high end of the Gulf of Mexico, we continue to see an important different dynamic associated with the characteristics of the product, but given the level of imports I think we are going to continue to see some favor between now and I think July.
Bill Sanchez – Howard Weil: Okay and I guess is just one follow-up. I know the commentary, I guess consistent from the last call with regard to Brazil and the deferral of these line pipe shipments. I guess, I was just curious, is the resumption of that is still expected, kind of first quarter of 2015 or has that pushed to the right during 2015 and do you expect that to be a little bit later than maybe what you told on the call during 4Q?
German Cura: Bill, on this, we are confident that we will be start producing the three line pipe and resume our activity on line pipe in Brazil by the first quarter of 2015. Hopefully, we may start producing it before, but invoicing will happen in the first quarter. So we are concerning our estimate of the timing of the operation.
Bill Sanchez – Howard Weil: Great. I appreciate the time. I’ll turn it back.
German Cura: Thank you.
Operator: And your next question comes from the line of Ole Slorer with Morgan Stanley. Please proceed.
Ole Slorer – Morgan Stanley: Thank you very much. And my first question goes to Guillermo Vogel on Mexico, if you could give us an update, because Mexico is a very important market for Tenaris. And you talked on the energy reforms in Mexico that was meant to be some announcements on the secondary amendment to the constitution getting the details around - the final details around some of this – how some of these changes will be implemented by the end of April and now in May, just as your thought on what’s going on there and also – well you can start with that.
Guillermo Vogel: Yes, hi.
Ole Slorer – Morgan Stanley: Hi, there.
Paolo Rocca: Yes Guillermo Vogel, you go on.
Guillermo Vogel: Hi, Ole, how are you today?
Ole Slorer – Morgan Stanley: Very well, thank you.
Guillermo Vogel: To tell a little bit where we are, the secondary laws have already been presented by the executive branch to Congress and the last news we have is that Congress, the Senate specifically has set up an extraordinary session that will go from the 15 of June to the 30 of June in order to approve them. So the times right now in terms of the approval of the secondary laws are going to be set by the end of June. The secondary laws have been presented. We are reviewing them. There is nothing specific I think that what they are establishing is, laws that are very flexible in terms of the Energy Secretary to be able to present or to structure the bill in a very flexible way. So, up to now there have been no surprises. There is a national content – minimum national content that has been included there which is said to be growing gradually from 2015 to 2025 to go up to a minimum of 25% by 2020 and 2025. In the mean time, in terms of the round of – for Pemex, Pemex has presented it in terms of what they are requesting for, for example for deepwater, they have requested to keep like 30% of the prospective resources or shales. The number that we have – they have requested to keep 15% of the prospective resources in shale. So there is going to be plenty of opportunities in deepwater in shales in order to move in. And, according to the original subject, the Secretary of Energy has up to September in order to approve when that’s going to happen. So, the process continues as expected, maybe a little bit of a delay in terms of the secondary laws.
Ole Slorer – Morgan Stanley: Okay, so we are still on track for a September approval of – Mexico will be able to Pemex will be able to keep in what will then be outsourced. I think on the last call you mentioned that you are hopeful that activity could accelerate a little bit once the amendments were approved as Pemex have the right to (Inaudible) could you update us whether you have changed your view on the notice?
Paolo Rocca: No, no. I think we are going to – we saw a slow first quarter for Pemex. I think that was expected. We were expecting this, maybe it’s a little bit slower because there were some problems with some suppliers that affected somewhat the operation in the first quarter especially on the sea region. But, today there is working, operations are back to normal and so we expect to have a better remaining of the year with Pemex and I think that once the assignment to Pemex was finished we are going to start to see a lot of activity, Pemex with alliance as with some outside investors that we should we see the effects of that by 2015.
Ole Slorer – Morgan Stanley: Interesting. And my second follow-up question, just on deepwater in general. You mentioned if I heard correct, the Sub-Saharan Africa up 74% year-over-year. So bit of a surprising strong number in context of what we are hearing on the ongoing delays, particularly in Nigeria and what appears to be a little bit a stand buff at the moment between international oil companies and local governments on terms. So, could you talk a little bit about what you are seeing in general in deepwater and specifically what’s going on in West Africa?
Paolo Rocca: Yes, Ole. In spite of the – some of the political issues at the Sub-Sahara Africa, we have seen level of activity in exploration at the level of 9% at the year. I think Gabriel can – you give a view of some of the major companies the number out of it.
Gabriel Podskubka: Yes, sure. Good morning, thank you Paolo, good morning Ole. In fact, Sub-Sahara Africa has been, completely for us an area of growth. The 74% refers to sales over 2013 versus the previous year. This is driven by exploration and development activity and this is also begin also deepwater pipeline. We should be doing there in 2013. We continue to this churn upwards in 2014 as well. Today, as a matter of fact we have 44 rigs operating in deepwater areas across Sub-Sahara in Africa. These are development campaigns in Nigeria, in Angola and in Ghana and it’s also exploration in new frontiers East Africa Angola and some other areas that are opening up looking for new projects. So these has been a very important sales for us where we have been introducing differentiated technologies to capture and to increase our market share and position there. As a matter of fact, we recently signed a new long-term agreement with the British in the segment which is very active in Africa. And they have a particular aggressive campaign, or development campaign in Ghana. So for us, we will continue to have a growth in 2014 for Sub-Sahara Africa.
Paolo Rocca: And then the energy strength is increasing in our sales. No – in the market has been lower but we are been particularly affected in getting contracts on demanding products in the exploration in Angola, the development in Angola, there are the exploration on the East Coast of Africa. We have a portfolio of products that is very complete and effective. We are focused on products that increase the efficient in Dopeless is a tool that we can put on market and this has been effective.
Ole Slorer – Morgan Stanley: Thank you very much. Now, I think you have clarified it. I was just afraid that there was a big build in inventories given your high sales volumes in this high margin products will therefore slowdown but it sounds like it’s still growing. So, thanks for that. I’ll turn it back.
Operator: And your next question comes from the line of Michael Lamotte with Guggenheim. Please proceed.
Michael Lamotte – Guggenheim: Thank you and good morning gentlemen.
Paolo Rocca: Good morning.
Michael Lamotte – Guggenheim: German, I think the first question for you coming back to North America and in particular the technology penetration rates and the success which you have with the XP and 625. Could you perhaps give us an idea of what the penetration looks like and what the pricing power related to technology is at this point?
Paolo Rocca: German?
German Cura: So, good morning Mike. Thank you, Paolo. Mike, let me probably touch on perhaps three aspects. Number one, what we call the semi-premium space for which we developed some ago the XP as we call it. This is a product that’s been primarily directed to the shale oil development for compression and torque were the characteristics, enhanced characteristics. And in fact, it has proved to be a very important component of our portfolio in terms of both volume penetration given also the market dynamics. Now 625 is a product more designed for the shale gas. There we have not only compression and torque but also pressure. Now given the nature of shale gas, gas development in generic terms, we have seen some, not as much as ultimately we would have been in the event pricing would have translated in higher degree of activity. And then the final one is 623, the one we discussed about also in our prior call, this is a deepwater connection that is ultimately meeting the external, new external testing requirements which we understand is met by this product and frankly no other product in the industry yet.
Michael Lamotte – Guggenheim: Can you share with us German, an idea of how much of your U.S. volumes are sold with these premium connections versus the commodity connections and what type of price premium that might be giving you over and above a spot? Or I should say a lack of indexation in your price direction.
German Cura: Well, Mike, this is probably a difficult answer for me to provide. The core of the fact that our competitiveness position that. Let me just try to guide you at least with some indications. We have stated before a premium share in the States pure premium let’s call it share in the States being about 35% and we see that gradually growing. And we have experienced a growing component of the semi-premium associated with XP. Naturally, and I know you – this is done, I can’t get into the pricing specifics, but these are fairly differentiated products which frankly in some instances we will realize that very few options to our product portfolio offering.
Michael Lamotte – Guggenheim: Yes, okay.
Paolo Rocca: And basically, Michael, three segments to this. XP, the semi-premium and pure premium are differentiated and the margins are different in the three segments. In this environment, any increase in the drilling for gas drill probably supporting our sales or the higher margin segments, both semi-premium and premium.
Michael Lamotte – Guggenheim: Okay, I realize the difficulty of the question perhaps, why I was asking, I was looking the year-over-year change in North America revenue relative to the year-over-year change in the welded pipe volumes. And so, really trying to get a gauge as to whether there was more growth to come through penetration because it does suggest that your margins in North America are up year-on-year. Is that an accurate statement?
German Cura: Well, when we look at the States, Michael, we could probably argue that our existing alliance customers particularly the ones that are very active both in the Eagleford and Permian are perhaps from an activity based on volume perspective are outperforming the average of the market. We’ve seen these ultimately in the way our participation on the rig count side has evolved in the last few quarters. That explains the volume component in the States which seasonality (Inaudible) will not potentially penetrate on overall higher volumes year-over-year.
Michael Lamotte – Guggenheim: Okay, that makes sense. Thank you. Last one for me if I could ask a question to Ricardo, the working capital in the first quarter being quite positive. It strikes me it’s counter-seasonal, can you explain me what happened there and why that the cash flow look so good?
Paolo Rocca: I will give an indication. I think nothing happened here, but we are, I think managing efficiently our working capital basically, this is what I perceive and we should also do this, I would like to be able to show more results even in the future and efficient management to working capital, but there is some specifics that help explaining this Vogel.
Guillermo Vogel: 
 :
Michael Lamotte – Guggenheim: Okay, thank you gentlemen.
Paolo Rocca: Thank you.
Operator: And your next question comes from the line of James Hanford with Credit Suisse. Please proceed.
James Hanford – Credit Suisse: Yes, thanks a lot. We haven’t really talked too much about the Middle East; clearly the sales were quite significantly lower quarter-on-quarter. You’ve obviously talked anecdotally about what you are expecting to say now throughout the next few quarters. But it would be great to have maybe your thoughts on quantifying, A, what you are expecting for the next quarter? Obviously, in the Q4 call, you said that it will be in H2 they will be still slowing that, the pace of consumption. And then on also in 2015 and beyond, what you are realistically expecting from Aramco in particular but you cost base across the Middle East, it be great to have your thoughts. Thank you.
Paolo Rocca: Well, I think basically, Middle East to a larger extent is driven by Saudi Aramco, the division investment and then a purchasing programs and what we see is that, the level of activity is very high and still in which Aramco is investing in our field that requires very complex problems. At the same time what we see is that, the purchasing that has been realized in the last three quarters have been very high and there are inventories on the ground. So we expect that starting for the next quarter the upper-end demand, so the purchasing from Aramco will go down. I expect a improvement to the present level relative to the present level. Now,
James Hanford – Credit Suisse: Relative to the present level?
Paolo Rocca: Yes. Starting with 2015 and the medium-term, So, Gabriel maybe which your sense of how the program is going.
Gabriel Podskubka: Yes, thank you, Paolo. Good morning James. Just to complement to what Paolo was sharing. We see that drilling activity in Saudi to continue to improve. Aramco operated in the first quarter of this year with a 175 rigs adds with small benefit this quarter. So, pretty much in line with our target of reaching 200 rigs by the end of the year. But it’s another further step of increased drilling activity in 2015 that is planned as well and is that we are proceeding in our talks in Saudi. So, on that regard we are quite optimistic on the level of consumption. As Paolo was referring, and this is not the first time that we have seen this purchasing behavior from Aramco when they are in front of an important ramp up drilling activity, they typically front-load that budgeting because of its products with longer than average lead times. So – that is the concern of this company. So they typically tend to buy at the higher level of their initial consumption. But we see that it will have a impact on 2014 especially on the second half. And it might have a translation also in the first quarter of 2015. But, overall, we are in the mid-term pretty confident on the activity.
Paolo Rocca: And we are strengthening our finishing capacity because we expect Saudi to be a very important market independently from the ups and downs of inventory-driven off the demand.
James Hanford – Credit Suisse: Okay, okay. So, in terms of, because obviously the last quarter was a record quarter and Q2 was obviously extremely good as well. It looks like you are more optimistic for 2015. What would you sense to be a normal condensate rate per quarter? I mean for example, is this the new levels which we should be getting used to or should we look to be surpassing where we were in Q4?
Paolo Rocca: Well, if Aramco maintain 200 rigs you can figure out the level of consumption will be very important in the long run.
James Hanford – Credit Suisse: Okay, okay. Because that’s the sort of level we are talking about, okay. That’s clear. Thanks very much.
Paolo Rocca: Thank you.
Operator: And your next question comes from the line of Felipe Santos with J.P. Morgan. Please proceed.
Felipe Santos - J.P. Morgan: Hi, you guys did it (inaudible) now. Thank you very much. I think most of my questions were said, so, it’s comparing to what was discussed in U.S. and Mexico. But I know that a caller on South America, we saw a steep decline on the sales level not only to the last quarter but mainly if that’s sort of – talk about the last year. I understand that I mean, you comment on the release that this is basically driven by a Mexico Colombia – sorry, not Mexico, but Colombia and Venezuela. At Brazil you have already been – I mean, we are not bit delayed in Brazil, using growth. But it’s not necessarily causing the decline on a quarter-over-quarter situation because this delay could be there for a couple of quarters already. So if you could discuss a little bit especially what is going on in Venezuela and what your expectations for the remaining of the year and in South America, I would really appreciate. Thank you very much.
Paolo Rocca: Thank you, Felipe. As you are saying, we are seeing it in this quarter the lower level of sales in South America. But frankly I am quite optimistic in the medium run for South America. Argentina is growing. It’s increasing the number of rigs and it is gradually developing the resources of Vaca Muerta. This will have an impact no doubt. I also think Brazil will resume probably in 2015, but for us the line pipe will be important in the first part of 2015. Colombia has been at the lower level of demand that our inventory should gear. But we expect a build in Colombia to resume and the level of demand for the development of many operators that are committed to the development of resources in Brazil. We think that Colombia will gradually grow. Venezuela is an issue from our point of view. We have difficulty and we paid in Venezuela. So we are – the activity in some of the products is gradually ramping up. We have to find and wait to stabilize our relations with a way the other operators in a way that assure the collection of payments that we get. We are on the way; I think we can improve during 2014. But for the time being our sales went down in last year because of problem of collections. Hopefully, we will be able to reach an agreement between stability for our collection in the future and this will allow us to resume and to retain participation and share in the demand of Venezuela, because the demand in Venezuela will probably gradually pick up during 2014 and for the future.
Felipe Santos - J.P. Morgan: Okay, thank you very much.
Operator: And your next question comes from the line of Julien Laurent with Natixis. Please proceed.
Julien Laurent – Natixis: Yes, good morning. I have two questions. First one about Brazil and you’ve commented on mainly the line pipe business, but could you give any color about the profitability, do you expect any pick up on the second half of the year? And also about Japan, there you have an joint venture on NKK and you have to renew it. Are you happy with these facilities and is it goal for you to remain involved in NKK? Thank you.
Paolo Rocca: On the first point, the Brazil is delaying projects. This is affecting not only line pipe but that is also affecting G and with Brazil – into sales of our products for onshore and for the offshore products. Shallow and deepwater, you know, we are telling to all these segments, the onshore segment that's probably slowdown and but also the offshore has been affected by delays in the quarter. When Petrobras will resume its program, but this is an election year in Brazil, I think this will be important. We need to understand that after the election, also how there will be any change of policies. That is the progressive investment and development of resources is concerned, so I don’t think we have the profitability on 2015. In our case, on the line pipe we have the contract, or otherwise we will stop producing, but really the dynamics will spend better after the election. So NKK, our operation in Japan, we have decided we will reach an agreement for expanding this our agreement with the facility. The facility is very important to supply the high chromium condensate the material, profitable, the unit that is contributing substantially to the positioning those scenarios worldwide but it’s also supporting our position in the Far East, is supplying pipes to Indonesia, to China where we have finishing facility and this contribute to the Middle East there we (inaudible) progress. We have an R&D center in Japan. That is also contributing to the development of our portfolio. And so we will continue and expand also the reach of our cooperation to find the areas of opportunities.
Julien Laurent – Natixis: Thank you.
Paolo Rocca: Thank you.
Operator: And your next question comes from the line of Geoffrey Stern with Kepler Cheuvreux. Please proceed.
Geoffrey Stern - Kepler Cheuvreux: Yes, hi, thanks for taking my questions. Actually two questions on the U.S. markets. Since last year we have seen the shift on premium to semi-premium connection. Do you believe that this can go further? Or do you think that now it does kind of stabilize and? Yes, so that's my first question and the second question relate to pricing. I was wondering if you are seeing that kind of trust has been reached there whatever the outcome of the trade case next July, given the – I mean, we’ve seen the recent uptick in rig count which has been quite supportive I guess for the OCTG market. So, your thoughts here will be helpful. Thanks.
Paolo Rocca: Thank you, Geoffrey. Well, one general comment before passing to German on our policy and our strategy in the United States. In the United States we are really focusing on developing products and services that could contribute to increase the efficiency of the rigs operating in all of the different plays that are in the shale. In the semi-premium important the expansion has been substantial so now we continue probably at its lower rates. But our push for promoting our semi-premium products will go on and we will increase our sales in the future. Because this is a problem that could contribute to the reduction of cost and improve efficiency of the rigs. German? Some are confident these are on the price
German Cura: Only briefly on first the products, I think, we’ve seen them going forward at a stable pace of growth both premium and semi-premium. I think operators have in fact pretty much stabilized the string designs by moving API connections to semi-premium in the spaces where extend the reach for new requirements of torque resistant and compression resistant. Now as far as pricing is concerned, I will probably repeat what I said at the beginning, we continue to see important volumes of imports that despite the growing operation and demand associated to both an increase of rig count but also drilling efficiencies which were I said, somehow affected during the last few months given the weather. But we are expecting this to go back to normal ones; this long winter finally comes to an end. So, overall demand associated to efficiency as rig count continues to grow and despite that, prices are behaving the way we described at the beginning. And this is in our opinion, almost strictly associated to the unfair trading imports we continue to see.
Geoffrey Stern - Kepler Cheuvreux: And do you believe that if the final ruling is – meaning that you don’t have any anti-dumping duties against Koreans. Do you believe that some bike makers in the U.S. could decide to sell, let’s say new build program in the U.S.?
German Cura: Well, difficult to speculate on that at this point. We are seeing this as part of our existing case they have made it very clear, the production and investment and also employment implications of what we continue to consider and fairly trade imports, but as we stated at the beginning, we remain confident while the Department of Commerce review the elements, while they defined facts are going to show themselves.
Paolo Rocca: Yes, remember the, there are welded producer and seamless the impact of the import is already higher (inaudible). So projects like our projects, frankly I think that even in the case of negative termination, our position in premium seems that has increased and in semi-premium, stringent products. We have expected this to contribute to the effective operation of our clients that will not be so much effective. Our operation in – when that could, probably more a pool, it will be especially in the non-treated operator.
Geoffrey Stern - Kepler Cheuvreux: All right. Thanks.
Operator: And at this time we have no further questions.
Giovanni Sardagna: Well, okay. Thank you, Jackie. If we don’t have any other questions, we will end the call here and thank you all for participating.